Operator: Good morning. My name is Dennis, and I will be your conference operator today. At this time, I would like to welcome everyone to the Smith Douglas Homes Fourth Quarter and Full Year 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Eddy Kleid, Vice President of Finance. Please go ahead.
Eddy Kleid: Good morning, and welcome to Smith Douglas' first earnings call as a public company. We issued a press release this morning outlining some of the 2023 results we will discuss on today's call which can be found on our website at investors.smithdouglas.com or by selecting the Investor Relations link at the bottom of our homepage. Please note this call will be simultaneously webcast on the Investor Relations section of our website. Before we begin, please note that the discussion today includes forward-looking statements within the meaning of the federal securities laws, including but not limited to statements about our ability to maintain our reputation for high quality construction and customer satisfaction, our growth plan, the pursuit of strategic opportunities and our future operations and financial performance, including our outlook for the first quarter of 2024 and full year of 2024. These and other forward-looking statements are based on management's current assumptions and are neither promises nor guarantees and are subject to a number of risks, uncertainties and other important factors that may cause actual results to differ materially. These forward-looking statements speak only as of the date of this call, and Smith Douglas assumes no obligation to update such statements based on future developments or otherwise. We direct you to the company's most recent SEC filings, including the factors discussed under the caption Risk Factors in our final prospectus filed with the SEC on January 10, 2024, in connection with our initial public offering. For additional discussion of important factors that could cause actual results to differ materially from those in the forward-looking statements. The company will also discuss certain non-GAAP financial measures, including adjusted net income during today's call. You can find a presentation of the most directly comparable GAAP measures and a reconciliation of those measures in our earnings release, which is available on our Investor Relations website. Now I'll turn the call over to our CEO and Vice Chairman, Greg Bennett.
Greg Bennett : Thanks, Eddy. Good morning and thanks for joining Smith Douglas inaugural earnings call as a publicly traded company. With me today, I have our Founder and Executive Chairman, Tom Bradbury; and our EVP and CFO, Russ Devendorf. Before Russ and I share 2023 results and provide some color into our outlook for the Company, I want to turn it over to Tom to say a few words.
Tom Bradbury : Thank you, Greg. I'd like to take this opportunity to thank everyone involved in our IPO process for their support and believing in us as we start our journey as a public company. The demand and positive feedback we received from the investor community was humbling. I've been in this business for 50 years and never been more excited about all the opportunities we have in front of us to grow our business for many years to come. Having started my first homebuilding company, Colony Homes, back in 1975 and forming one of the largest southeastern regional builders at the time. I had the chance to learn a lot of lessons prior to the Colony sale to KB Home in 2003. This experience helped me set the DNA, but what I wanted to create when I started Smith Douglas Homes just over 15 years ago. As I mentioned during the road show and what Greg will discuss here in a minute, we believe it's our people, our processes and our systems that help make us special and set us apart from our competition. More importantly, it provides us the ability to deliver quality, affordable homes to our buyers with many options and choices. Lastly, I'd like to recognize and thank all Smith Douglas associates. I am blessed to have the opportunity to work with such professional and caring group of individuals. They are the key to our success and the heartbeat of our culture, which is defined by our mission, vision and value statement in what we call our house. We aim to enhance people's quality of life with every home we build and everything we do from our associates, our homebuyers, our business partners and all Smith Douglas associates embrace the saying, good, better, best. You never let it rest till the good is better and the better is best.
Greg Bennett : Thanks, Tom. Before I get into our 2023 results, I first wanted to give a brief overview of Smith Douglas and the key components of our strategy that we believe set us apart from the competition for those who may not have had the opportunity to hear our pitch during the IPO. Smith Douglas was founded in Atlanta in 2008. As Tom mentioned, he immediately set about employing the lessons he had learned over the course of his career, building a company that not only excelled in building high quality homes, but also one that aim to deliver outsized returns on capital. There are several keys to achieving these goals. The first was the establishment of a culture that emphasized integrity, teamwork and accountability. We believe we hold ourselves to a higher standard at Smith Douglas, and this is reflected in the homes that we build and the operational success that we've achieved. These core tenants are the foundation of our company and continue to guide the way we do business to this day. Our organization is only as good as its people and culture, and we believe we have the best in the business. The second key to our success was our mandate in building affordable long-lasting homes that our customers are excited to live in. Despite our focus on affordability, we pride ourselves on building differentiated homes that allow for personalization according to a buyer's wants and needs. And we established a reputation for quality, construction and high levels of customer satisfaction in our markets, and we intend on maintaining the reputation into the future. Another key to our success has been our emphasis on operational efficiency. Through the implementation of our SMART Builder and Rteam platforms, we have been able to streamline the process of building and closing homes, leading the cycle times and inventory turnover rates that are some of the best in the industry. This requires the coordinated efforts of everyone involved in the homebuilding process, both internal and external to our organization, and we are proud of the operational machine that we have built. The final pillar of our strategy was to establish and maintain a landline balance sheet. One of the important lessons from the last downturn was that much of the risk and potential for financial ruin in this business stem from carrying and developing land, so we strive to take ownership of our lots in a just in time manner. This strategy not only limits our operational and financial risk, it also leads to enhanced returns on capital. We also believe this moves out some of the variability that is associated with our industry. Since our founding in 2008, we went on to expand our operations into Raleigh, Birmingham, Huntsville, Nashville, Charlotte and most recently Houston, demonstrating that the operational philosophies are repeatable and scalable, while delivering outsized growth, profit margins and returns. We believe we can continue to grow in a profitable manner through organic expansion within our existing markets and through additional M&A activity. In terms of our performance in 2023, Smith Douglas delivered pretax income of $123 million. Home sales revenue grew by just over 1% year-over-year due to a 4% increase in home closings, partially offset by a 3% decrease in average sales price. Our home closing gross margin came in at 28.3%. Net orders for the year were up 2,368, up 23% year-over-year and ended the year with 912 homes in backlog with a contract value of $311 million, a 20% increase over the previous year. Our cycle times are currently running around 60 to 65 days across all of our divisions outside of Houston, which we acquired last July. For 2023, our inventory turnover was 3.4 times, excluding the effect of our Houston acquisition. We continue to integrate Houston on our platform and processes and are targeting midyear having it fully operational on our SMART Builder ERP system. We are pleased with the performance thus far and look forward to increasing our market share. Overall, I would characterize the current new home sales environment in our markets as good, with strong housing fundamentals and healthy consumer confidence being somewhat tempered by affordability concerns. We continue to see motivated and engaged buyers at all of our communities and believe our ability to offer high quality differentiated homes at a reasonable price point remains a competitive advantage for our company. Before I turn the call over to Russ, I want to emphasize that we run our company with a long-term focus and not in a manner that prioritizes meaning external quarterly projections. Homebuilding is not a linear business, and oftentimes, what may benefit the company in the short-term may not be beneficial in the long-term goals of the company. We have been and will continue to be focused on creating value for stakeholders over the long-term and hope to attract investors with similar mindsets. With that, I'd like to turn the call over to Russ.
Russ Devendorf : Thanks, Greg. As many of you know, we were the first company to IPO on the New York Stock Exchange in 2024. We priced at $21 a share, which was at the high end of our range and were more than 15 times oversubscribed. We raised just over $172 million in net proceeds, of which $125 million were primary proceeds with the balance going to our selling shareholders. The total outstanding share count after consummating the IPO is 51.3 million shares of which 42.4 million are Class B shares held by our continuing equity owners with the balance being our Class A shares that represent our public float. As Greg and Tom mentioned, we are extremely excited and appreciative of the support we received during the roadshow. Prior to our IPO, we were structured as an LLC and flow-through entity for tax purposes. Our corporate structure following the IPO is commonly referred to as an Umbrella partnership - C Corporation or Up-C structure. In short, we chose a structure for some of the tax advantages it will potentially offer the continuing equity owners and the company in the future. We encourage our shareholders and future investors to read our organizational structure section in our final perspectives filed with the SEC on January 10, 2024 for additional information. As Greg mentioned, we generated $123 million of income in 2023. Our adjusted net income, which is a non-GAAP measure that we believe is useful given our organizational structure, was $92.4 million and assumes a 25% blended federal and state effective tax rate as if we were on 100% public ownership operating as a subchapter C corporation. We believe adjusted net income is a useful metric because it allows management and investors to evaluate our operating performance and comparability more effectively to industry peers that may have a more traditional organizational and tax structure. Concurrent with our IPO, we also closed on our amended and restated unsecured credit facility. We are excited to add three new lending partners and appreciative of the existing lenders who have supported us over the years. We upsized our facility from $175 million to $250 million and extended the maturity to January of 2027. Additionally, the facility has an accordion feature that allows us to increase the total facility size to $350 million as needed. We used a portion of the IPO proceeds to pay off all outstanding debt under the prior facility and as of today continue to have no outstandings on the line. We believe the IPO proceeds at our new credit facility provide us with sufficient liquidity to pursue our growth plan of expanding our existing markets and pursuing other potential strategic opportunities. We finished 2023 with 12,800 total controlled lots, an increase of 48% over 2022. True to our landline operating philosophy, only 524 of our controlled lots were unstarted, meaning that 96% of our controlled lots were either work in process or under option. In a normalized market, we would expect our lot supply to stay within our targeted range between 3.5 to 5.5 years of supply calculated based on our forecasted closings over a rolling 12-month period. As we previously reported in our release earlier this month, year-to-date February new orders and closings were 484 and 335 homes respectively. Our backlog at the end of February was 1,061 homes. We are currently operating out of 68 active selling communities. We expect our first quarter 2024 net new orders to finish at or above 750 homes compared to 664 in first quarter of 2023 and home closings to finish between 540 and 560 homes compared to 500 closings in the first quarter of 2023. For the full year 2024, we are projecting total home closings between 2,600 and 2,800 homes. We expect our average selling price to range between $340,000 to $345,000 and home closing gross margin to finish between 25.25% to 26.25%, including an approximate 50 basis point impact from purchase accounting related to our Houston acquisition. We believe the primary risk to our projections are around our ability to maintain sales pace and bring our new communities and lots online. We continue to see some delays in municipalities on [indiscernible]. Macroeconomic factors primarily around jobs, inflation and interest rates could also have unforeseen impacts to our numbers. As mentioned during our roadshow, we are focused on building a sustainable legacy homebuilding business that will thrive for decades to come. We are thankful for those shareholders that come along for the ride and intend to be transparent and investor friendly as we navigate life as a public company. With that, I'd like to turn the call over to the operator for instructions on Q&A.
Operator: [Operator Instructions] And your first question is from the line of Michael Rehaut with JPMorgan.
Andrew Azzi: This is Andrew Azzi on for Mike. Good morning. Russ, I just wanted to ask, as you think about your ambitious long-term closings goal between organic growth in your current markets, expansion in new markets and M&A, which lever are you expecting to focus on to see the most opportunity in the short- and long-term?
Russ Devendorf: As we talk about on the roadshow, we think the easiest path for growth is in our existing footprint. There's definitely plenty of opportunity in our markets to gain market share, especially with the additional capital and putting that to work. And we're seeing a lot of new deals come through our investment committee every week, so that's very positive. On the flip side, from an M&A perspective, there are a lot of opportunities out there. So we're looking at things, we see a lot of things come across our desk, but we're going to be, we're not just going to jump on something to grow top line. It's got to be the right fit for us. Clearly, we're focused on the southern half of the U.S., the southern markets, we'd love to fill in some adjacent markets that fit within our strategy. So look, I'd tell you, if we see something we like, we're going to go after it. But right now, we see the opportunity. The present opportunity is just within our existing markets. But look, I hate to say, but something could pop-up next week that we see and we go after it. So we're open as long as it fits.
Andrew Azzi: Thanks for that. And then I believe you guys said that demand was looking good, kind of similar to what we're hearing from some of the other builders. I mean, would you characterize demand as being somewhat consistent with normal seasonality? Obviously, historicals are a bit limited, but or is it more something maybe stronger than typical this time of year?
Greg Bennett: No. Thanks for the question. Yes, I would relate it more to a more seasonal, more like the usual spring momentum going into the spring selling season. Just nothing outside of the normal spring activity.
Russ Devendorf: Yes. The one thing I would add is when we were on the roadshow, we had just come off December and rates had pulled back end of November, early December. And I think we probably saw a little bit of pull through in December, because December kicked off really strong and we were feeling like that was spring selling season was here already. January was good, I think progressively through the quarter things got better, but I do think we had a little bit of an initial bump in December and some pull through and then it kind of like Greg said, it kind of got back to what we'd say is a normal seasonality, normal market.
Operator: Your next question is from the line of [indiscernible] with Bank of America.
Unidentified Analyst : Just starting out, Russ, can you just help sort of bridge us from the 28% plus, the really strong 28% plus gross margin in '23 to the guidance of 25.25% to 26.25%? And then what's embedded in that outlook in terms of land inflation, labor inflation and materials?
Russ Devendorf: Yes, sure. Good question. So let me highlight where we were in fourth quarter, and I know we didn't provide specific fourth quarter. Just touching on the release for a second, we gave full year results. We're still going through a couple of things on our audit. We're going to file our 10-K April 1, and so apologize for being a little light on Q4, but Q4 gross margin was 26.7% and then if you add back interest and we had some purchase accounting, we were 27.5%. So we saw gross margin progressively throughout the year start to drift down a little bit, which we expected. So we did. We finished at 28.3% and then our projection for this year, like I said it was 25.25% to 26.25%. That includes 50 basis points right now, what we estimate about 50 basis points of purchase accounting. So you know if you add back purchase accounting and what we would say is looking at us on a more normalized basis, it's that 25.75% to 26.75%. So I think that's pretty consistent with what we've thought going into this year and what we thought during the roadshow. And like we said, most of that is all coming from compression, the margin compression is coming from increase in land costs. Our vertical costs have remained pretty steady, and in some cases, it gets better. It just depends on what line item you look at. Some cases, it gets a little bit worse. But really, the pressures that we're seeing, and we continue to see this when we see new land deals coming through investment committee, is it's primarily on the land cost side. That's where there's a ton of competition, builders are pushing. You can see what's happening just in the M&A market, right? Flocks are looking to grow and so that's where the land compression or the margin compression will where we coming from. So, if I had to tell you like that number from 28.3% to our estimates going into next year, I'd say it's all going to be on that landline item.
Unidentified Analyst : And then sort of following up on that, can you talk about how much you used land banking versus optioning directly from the developer? And then are you seeing any changes there in terms of the additional cost from using land banking? Is it more difficult to find bankers? Or are you still finding a lot of opportunities?
Russ Devendorf: Yes. The percentage of our deals that are going to land bankers are increasing. And that's it's primarily due to the fact that I think number one, if it's a traditional land seller or Joe Farmer, he just he wants to get out, move on. I think financing is becoming more difficult maybe for some of these land sellers or developers and so they don't want to hold the land. They'd rather just say, hey, I just want to flip it. I kind of want to get out. And that's fine with us. We've got plenty of land bank opportunities with our partners. We talk to folks every day. Our existing partners are great. There's plenty of capacity. We're looking at some other opportunities to put a more programmatic deal in place, and hopefully make the process a bit simpler and also help maybe bring some of the cost down. But you know land bank is, it's a market deal. But so there is plenty of capital out there for us to continue using land bank and I do think land bank will be a higher percentage of our option lots going forward.
Operator: Your next question is from the line of Mike Dahl with RBC Capital Markets.
Mike Dahl: Just back on the gross margin dynamic, I think 4Q actually came in a little above where you had been expecting kind of on the roadshow and the guidance. I think it's the upper end, I think is kind of more consistent with where you initially pegged it. So it seems like margins came in a little stronger, the demand environment as you characterized it pretty solid, but the midpoint of the gross margin range may be a little bit light of where the initial expectation was. So can you, better off on it, but talk a little bit more about some of the moving pieces there and ex purchase accounting changes in incentives, any regional dynamics we should be aware of on that, maybe Houston coming in lower margins, help us on that a little bit more?
Russ Devendorf: Yes. Are you talking about Mike, are you talking about Q4 or are you talking more about prospectively into 2024 margin?
Mike Dahl: Yes, prospectively against the backdrop where you actually beat a little in Q4, but then I think your initial expectation when we have been going through the process would be a little above 26% for full year of '24 and now the midpoint is a little below 26%. So just trying to understand kind of moving piece.
Russ Devendorf: Yes. The biggest moving piece right there is when we put the model together, we weren't we still hadn't gone through or finalized some of our purchase accounting, the valuation stuff on Houston. So a lot of the movement right now and look I think I don't want to commit to anything, but I hope that we're a bit conservative on what we expect some of the purchase accounting and what some of our margin to be. But sitting here today still not even finished with first quarter and look things feel pretty good and I see our backlog margins and where those are going with our trailing 13 weeks and it feels pretty good, but I don't, we don't want to put something out that we don't feel comfortable right now. We intend look, when we do our first quarter call in May, hopefully, we'll have, we'll be able to tighten some things up. But sitting here today, we kind of felt, okay, the midpoint still is pretty close to what we described on the roadshow. We have a little bit more clarity on our purchase accounting, what Houston that the acquisition should hit as far as margin. So that's really the biggest moving piece. Everything else is exactly what we thought just in terms of the margin compression coming from the land as I mentioned to Rafe.
Mike Dahl: Yes, that helps. Maybe just as a quick follow-up, could you help us understand kind of since purchase accounting might be heavier in the initial quarters, what the first quarter gross margin is expected to be? That's kind of a follow-up to the margin question. But then secondarily, same idea on the closings, I think the 2,600 to 2,800 might be a little light of expectations. And Greg, I certainly appreciate that the business is not linear and you articulated some difficulties on the municipality side. But can you speak to that a little bit more and maybe what's tempering the closings expectations here?
Russ Devendorf: Yes, we should finish north of 26% and I think we're just I've got to go back and look and see where we are year to date February, but I feel like our margins are going to be north of the 26%. And when we look at our aging of our backlog or as we roll through backlog, there's, it's interesting because I do see some positive movement on margins. I actually see where margins get better in a couple of months out. And I think part of that is, if you think about what happened last year just in terms of December when you know rates moved down and we were able to pull back a little bit on incentives, you know kind of raising prices. I think you're seeing some of that where you probably where we were discounting more, in third in to early fourth quarter last year. Well, some of that stuff is again given our cycle times, we'll close a lot of that stuff within 3 to 5 months. And so I think that you what the phenomenon you'll see is maybe we have a little bit lower margins early on, it could get a little bit better, just from the timing and then you know again what we're selling you know today in the next few months with the stuff that will close at the end of the year and so we'll kind of see you know the jury is still out. You know how strong is this market going to be. Right now like Greg said, we feel the market is pretty good. Buyer demand is still there. Still, we'll see what the Fed does today. Still interested to see what the rate environment does. So again, like I said, we feel like margins should be north of the 26%. And then in terms of your second part, which was in terms of the closings, the 2,600 to 2,800, we feel pretty good sitting here today about the midpoint. We did we met with for instance, we met with our Nashville Division President yesterday, right? There is we're still experiencing and this is one of the risks that we outlined during the roadshow. There's a lot of municipality delays with Platts, even with some of our developers just getting lots online that's always been and I tell you outside of market risk, just bringing lots online that's the biggest risk to our plan. And meeting yesterday there is just one community that I think it's going to take 20 homes out of our plan because the developer was supposed to deliver at the end of this quarter, and it's probably going to be end of second quarter now is best guess. So that unfortunately it impacts closings this year. So we see a little bit of movement there. But on the other hand, we are looking for finished lots, seeing what we can do this year to kind of backfill some of that. So that's again, hopefully that provides you a little bit of color, but we try to be transparent as we can on that stuff.
Operator: Your next question is from the line of Jay McCanless with Wedbush.
Jay McCanless: Would love to get an update on Houston, how the RT implementation's going, and any kind of early learnings or changes to the RT that you guys see you might need to make to get it implemented out there?
Greg Bennett: Thanks, Jay. No, things have gone extremely well in Houston. We are just in the last few weeks converted all accounting that is all being handled here locally through Atlanta now and all homes are running on schedule. We did RT designations across communities and have all those in alignment and have started now all the homes over on schedule. So I think we've been very thoughtful. We've had a team there, transition team there every week. So it's gone well and we look to be fully RT operational here probably by the end of Q2. So been good.
Jay McCanless: And just wanted to ask again on the land side. It sounds like cost there starting to move up. And how much would you estimate land costs are up now versus this time last year? And also as part of that, we've seen lumber prices starting to move up again recently. When, if at all, should we expect that to impact the gross margin on closings?
Greg Bennett: Yes, I think what we're seeing more in land is it's become somewhat of a bidding game, where it's really hard to predict the cost because we are every deal out there, there's a -- it goes out to bid and then you just hope to get in there. The material side of things, we're seeing enough demand that I think our pricing will trend with any of the costing issues, they've been minor. Our cost has stayed relatively predictable and pretty true to what we've seen historically there in a more normal market.
Russ Devendorf: Yes. As long as we don't see when things start getting out of line is when markets move way too fast up or down. So as long as we don't see what happened during the COVID times where you had those huge lumber spikes, I mean like Greg said, we should be able to typically you are able to move price in line with cost, but then again there is also the interest rate factor and affordability factor, so that could also put a cap on where you are able to move prices. But right now, it's not something that we feel like will impact our 2024 numbers too much.
Operator: [Operator Instructions] Your next question is from the line of Sam Reid with Wells Fargo.
Sam Reid: Wanted to touch on the incentive backdrop in a little bit more detail. We've gotten some color from a few of your competitors on affordability and rate buy down dynamics and everything like that. Just curious kind of your broader take on the infinite backdrop and maybe what you're seeing some of your competitors doing in some of your markets?
Greg Bennett: Yes. So our incentives are down noticeably. We still have in our model, which is a presale build order model. Our incentives tend to evolve around where we do have a cancellation, where we do have the need to start a spec unit that we focus those dollars and moving those spec units are, we've seen a trend downward on incentives and actually have seen the trend more toward taking some pricing opportunities.
Sam Reid: And I guess kind of continuing on with the pricing dynamic here, do you guys have any sense roughly as to what proportion of your communities you've taken up base pricing and kind of ahead of the spring selling season? Thanks.
Russ Devendorf: Yes. We don't have an exact number, but and look, just so you know our process, it's a community-by-community analysis. I mean there is Atlanta for us for instance is so widespread. We did over 1,000 closings, we're the third largest builder last year. But there's pockets of Atlanta that are better than others. So it really is, like I said, a community by community analysis. But I would say just as we see our trends for the last 13 weeks and like I mentioned earlier about where margins are going, I'd tell you it's probably north of 50% where we're seeing either actual price increases and base price, but more so it would be just a reduction in the incentive. So it's, the trend is positive, but like I said the jury is still out. You know it feels pretty good. Market is good, demand is good, but let's see what happens kind of as we get a little bit deeper towards the end of selling season, but you know so far so good.
Operator: This does conclude the Q&A session of today's call. I will now turn the call back to Greg for closing remarks.
Greg Bennett: Great. Thank you. Thank you, everyone, for joining us today. We really appreciate the support and interest in Smith Douglas Homes. As Russ said, we're an investor friendly group. We're glad to exchange and thank you again everyone. Have a great day.
Operator: This concludes the Smith Douglas Homes fourth quarter and full year 2023 results conference call. Thank you for participating. You may now disconnect.